Operator: Welcome to the Sayona Mining FY 2025 March Quarter Results. [Operator Instructions]. I would now like to hand the conference over to Mr. Lucas Dow, Managing Director and Chief Executive Officer. Please go ahead.
Lucas Dow : Thank you. Hello and welcome and thank you for joining us today. I'm joined on today's call by Dougal Elder, our CFO, Sylvain Collard, our President and COO of Canadian Operations, Andrew Barber, our Director of Investor Relations. We've scheduled today's call to be able to cater for people both here in Australia and also North America. As a consequence, we released our quarterly results last night Australian time in order to give everyone an opportunity to review our performance. And with that, I'm pleased to present Sayona Mining's update for the March 2025 quarter. Despite challenging conditions, we maintained operational momentum, progressed critical corporate initiatives and reinforced our long term growth platform. During today's call, I'll step through operational results, our exploration activities, a corporate update and our financial position before turning the call over for questions. Before we begin, unless specified otherwise, all dollar amounts quoted on the call are Australian dollars. Let me begin with our health and safety performance. Over the March quarter, our total recall injury frequency rate improved as compared to the previous quarter, which had been impacted by safety performance at our mobile and drilling campaign. At North American Lithium, NAL, we sharpened our focus on lead indicators, including stronger hazard identification and proactive near misreporting. Specific improvement initiatives included targeted workforce engagement during toolbox and health and safety meetings, leadership engagement with supervisors and managers and reinforcement of Safe Work behaviors and risk ownership at the frontline level. These measures are critical to continue to embed a strong safety culture as we grow. On ESG and permitting during the March quarter, we launched tender processes for environmental and biological studies needed support permit applications for both the NAL brown field expansion and mobile and green field projects. Timing of work is critical, as biological studies must align with the northern hemisphere summer survey window to be most effective. Now, moving to mining and crushing, operational performance at NAL. At NAL, total ore mined for the quarter was approximately 322,000 tons, down 13% quarter on quarter. The volume of ore mined in the quarter reflect an operational decision to leave exposed and excessive ore in the pit, rather than minor by leaving uncovered ore in the pit, we avoided unnecessary, wrong stockpile, re handling activities and associated costs, importantly, total material movement, including waste stripping, increased 15% quarter on quarter, positioning us with greater input or availability of future quarters, we achieved improvements to drill on blast practices and activities, including new emulsion products to enhance fragmentation and reductions in Downstream rock breaking activities by reducing oversized material, all of which support long term mining efficiency. However, the March quarter wasn't without challenges, unseasonable, thaw and refreeze cycles, impact Crusher circuit performance. Specifically, we saw temperatures rise well above zero degrees Celsius, which caused frozen material to thaw and slurrify, in some instances, followed by snap freezing conditions where the material refroze, impacting equipment performance, this resulted in conveyor belt failures and all blockages. Such failures led to around 120 hours of unplanned mill downtime in January alone. While our crushed ore dome helped mitigate these impacts, its storage capacity alone provides for about one and a half days of mill feed as a mitigating action, additional mobile Crusher units were deployed to further strengthen resilience against weather variability, noting that these adverse weather conditions are not expected to persist beyond winter. We're also confident that mitigating actions combined with contingency planning will not see repeat in future winter seasons. In relation to processing performance, the mill processed 287,782 tons of ore at an average fee grade of 1.13% slightly below the December quarter process. Planned utilization for the March quarter was 80 per cent as a consequence of Fauci unseasonal weather interruptions and a scheduled five day maintenance shutdown to realign the rod and ball mills pleasingly. Despite these setbacks, lithium recovery improves to 69% up 1% from the previous quarter. This improvement result was underpinned by continued process, discipline, effective use of magnetic separation and optimization of flotation circuits, including introduction of a new collector reagent that delivered a record 72% recovery in March. As a consequence, spod concentrate production for the quarter was 43,261 tons, with this result having been impacted by the adverse weather conditions and the associated crushing circa performance, combined with the scheduled major mill maintenance shutdown now moving to the sales for the period, total concentrate sold in the March quarter was 27,030 dry metric tons. This was in line with prior guidance, with sales volumes for the second half of financial year 2025 being split roughly 30% in the March quarter and 70% in the June quarter, deliberately skewed to capture high afford sales prices versus those available in the spot market. Revenue for the quarter was $31 million reflecting lower volumes, but supported by an 8% increase in average realized selling price of $1,142 per ton on an FOB basis. All sales during the quarter were to Piedmont under our existing off take agreement in terms of unit operating costs, unit cost per ton sold on an FOB basis, Rose 7% quarter on quarter to $1,374 per ton covering us. Dollar terms, cost fell 1% from us. $837 per ton to us. $830 per ton a function of currency movement, the cost increase in Australian dollar terms reflects greater pre stripping activity and higher processing expenditure associated with the major mill maintenance shutdown. Despite these temporary pressures, Nao remains with within FY 25 production and cost guidance ranges a key achievement given external evidence now focusing on exploration and resource growth within Quebec, following two intensive drilling years in 2023 and 2024 where over 129,000 meters were completed across NAL and Moblan field exploration activities have now wound down. Focus has shifted firmly to compiling those results and updating mineral resource estimates for both assets. Updated mineral resource estimates, or MREs, are targeted for delivery in the second half of calendar year 2025 it's worth highlighting that the drilling success over the past two years has significantly expanded our resource base, supporting long term operational flexibility and growth planning. Additionally, we're taking a disciplined approach by relinquishing lower priority tenements at TANF and Pontiac, sharpening our capital allocation in Western Australia. Exploration continues across both the Morella joint venture and the 100% say on our own projects at Mount Eden, at Morella joint venture, project planning is underway for follow up drilling following strong rubidium and lithium intercepts, including assays up to 0.59% and 0.63% respectively. At Tabba Tabba reverse circulation drilling has continued our understanding of the lithium prospectivity along the six kilometer Western Gabriela Toriel Turning now to corporate development, and specifically our proposed merge with Piedmont lithium. Key milestones achieved during this quarter in relation to the merger being regulatory approvals were secured from both the US and Canadian government, specifically ICA, HSR act and CFIUS approvals. These regulatory clearances significantly de risk the transaction timeline, which we expect to complete mid calendar year, 2025 next steps for the merger include shareholder votes for both sayonara and Piedmont, which are expected in the coming months. And Sayona will convene an extraordinary general meeting for approval of the merger itself, a conditional 69 million placement of resource capital fund eight RCF at 3.2 cents per share. And it's important to note that we're on the same terms as announced in November of 2024 at the EGM. We'll also be seeking approval for a share consolidation and at a ratio of 150 to one and a name change to a level of lithium limited. As a recap, the post-merger structure will have an approximate 5050 ownership split between Sayona and Piedmont shareholders. Board structure will reflect balance and depth, with four directors nominated by Sayona and four directors nominated by Piedmont. I will serve as Managing Director and CEO and [indiscernible] from Piedmont will chair the new board. The Compelling strategic rationales transaction is underpinned by this merger, creating the largest hard rock lithium producer in North America, Jewel ASX and NASDAQ listings will provide improved access to global capital markets, and the combined portfolio offers scale, growth, optionality and significant synergies across operations, logistics and market. In relation to Sayona's financial position closing the quarter, Sayona held cash and cash equivalents of $88.9 million down from $110.4 million in December 2024. The cash decrease reflected to lower plan sales volumes, $7 million operating loss from NAL, $3 million of sustaining capital expenditure, $7 million payment of expiration invoices under flow through share funding as flag last quarter, and $4 million of merger related transaction costs, importantly, now continue to approach a cash break even position recording a relatively modest $6 million operating cash outflow for the quarter, with a forward look to say owners financial position subject to shareholder approval, the conditional $69 million placement will significantly strengthen the post-merger balance sheet, and a 3.2 cents per share reflects the value that RCF place on Sayona, and combined with the disciplined capital management, this positions us to fund development activities across the merge company, project portfolio and to accelerate value realization. In closing, despite external challenges, Sayona delivered resilient operational results, maintain strategic discipline and make critical progress toward completing a transformational merger, full year production guidance range of 190,000 - 210,000 tons remain intact with unit cost guidance range also reaffirmed. Updated mineral resource estimates, NAL and Moblan plus drilling momentum in Western Australia provide a clear growth plan, and the [indiscernible] platform, post-merger, will offer unrivaled exposure to American lithium growth. We remain confident in our ability to generate long term, sustainable value for all stakeholders. Thank you, and I'm happy to take questions.
Operator: [Operator Instructions]. Your first question comes from Austin Young with Macquarie. Please go ahead
Austin Young: Just two questions for me, please. Can see that this quarter was impacted by this seasonal weather condition. I wanted to get some color on the improvement in the last quarter of the year. Has the utilization gone up in April to date? Now, the second question is around, do you capital spending a plan for the next year in terms of your plan for exploration and any significant capital outflows? Thank you.
Lucas Dow: Thanks, Austin. Thanks for the question. I think a couple of things, figures cross the adverse weathers behind us, but as I mentioned opening remarks, Sylvain and the team have put a number of mitigating and also contingency planning activities in place. Specifically, we've mobilized a scalping and also a mobile crushing facility that, in short, allows us to be able to bypass the crushing facility and feed directly into the dome, and I'll pass this to Sylvain in a moment he can give a a little more color on that Austin, but on the back of that, we've hit, we've started the final quarter quite strongly. So we're certainly encourage you coming home with a wet sale on both volume and cost, and then the in relation to you capital, probably the most significant piece on the capital front for FY '26 relates to a another tailings dam raised. It's required, so you'll see an increase for that. We'll be out with guidance with our August results, but it's not materially. I don't expect to be materially greater than this year in terms of exploration activity. We don't have any exploration activity plan in the in FY 26 as I mentioned. We're really focused on consolidating the MRE updates and getting busy with the feasibility studies for both NAL and Moblan. So Sylvain, I might just kick it across to you, and maybe just want to walk Austin and the rest of the folks on the call through a little more detail of how those adverse weather conditions impacted us, and then what you and the team have done on site.
Sylvain Collard: Yeah, for sure. Thank you. Lucas, so maybe just to put in perspective what happened exactly between December 25 to December 31 the temperature in the ABCB region went up for five days over zero degree celsius. So you understand the snow was melting quite intensively, and at the same time, we had over 35 millimeters of precipitation, which is very unusual in the region, has been creating a lot of impact, especially on the ramblad. So for five days, was very difficult to feel the crashing area. And after that. The temperature decreased down to 30 degrees. So you can understand, like Lucas explained very well, the slurry fine material was going everywhere in the crushing area, and boom, you have minus 30 degrees. So even if we have a heating system, when you have that kind of temperature mixed with slurry and water, everything has been frozen very drastically. So we had to put back some heating system and the system to be able to remove that material. But what we had, in terms of mechanical issues, was plugging shoe plug in feeders and screens, and the major impact was mainly on conveyors. So you need to understand, 75% of our incubators are starting from inside the crashing area, but 75% are outside and not well protected for winter conditions. So we had some issues with ripping conveyors, mechanical supply, mechanical supplies breaking up, and also we had to work in extreme cold temperature to fix all of it. So that's why we'll last so many hours in terms of operation. So what you want to hear it's what was the immediate action? So we have in place a crushing SWAT team, just to make sure they are focusing only on the crushing area, just to make sure they complete the proper maintenance and fix the major issues also. At the same time, we have been mobilizing a crushing mobile Crusher underwent pad, and this one is able to provide NGV, ng 20 material, which is roughly 03, quarter of an inch. And this material can be refeed directly to the crush or dome and refeed the processing plant. So as we speak right now, we still have that crushing, mobile Crusher at site, and we're using also a scalper to produce 15 to 20% of mg 20 material to refeed the systems. So it's going very well. So the approach will be exactly the same for next year. We're planning to keep the scalper in place using the c1 50 Crusher. So in terms of producing that contingency material will be producing for each ton, we process 15% to 20% of ng 20 so we're going to be in very good shape next year, when the winter will come back with sufficient energy 20 material to go through that that fluctuation in certain in terms of temperature, so this is the plan for next year.
Operator: Your next question comes from Andrew Harrington with Petra capital.
Andrew Harrington: This is more of a broader question on the post-merger company, what does, what does assuming prices stay where they are? Where does realized prices? Is there any impact for the merger on realized prices? And following your commentary and recording about shipping costs being excluded for Piedmont deliveries, does the postmodernity have a different cost structure? And then I have a second question that's right.
Lucas Dow: Yes, so I think we're obviously continuing to evaluate what the forward curve is doing and so forth. You'll see that we've taken advantage of being able to block in some of those opportunities when [indiscernible] and contango so and we'll provide some price protection. They're levers that will continue to play out as your flags, post the post the completion the merger, that Piedmont offtake agreement will fall away, which does provide a freight benefit for that volume that had gone out last quarter, which will fall away. But I think on a combined basis, we're still very confident of the synergies being realized as we move forward, being able to cut those larger volumes together and so forth and be able to balance that out, in addition to being able to manage those funds in a more effective way.
Andrew Harrington: So would that mean that costs would you know the guidance for this year was sort of sort of, let's say 1200 Aussie midpoint? Is that going to improve in FY 26-27?
Lucas Dow: Yes, we're certainly focused on it was certainly focused on improving our cost position. I mean, it's all about getting an Al to cash, even, cash, cash, break even or better, Andrew, and we'll be able to get up with guidance for it FY '26 with release results.
Andrew Harrington: Okay, well, you almost got there. Even was reduced…
Lucas Dow: It was kind of closed in on it, but there's still more work to be done. And you know, setting aside some of those, the. Uh, unseasonal weather and so forth would have been pretty close. But anyway, more work to do. But said, We're confident I'll be able to rein that in.
Andrew Harrington: Okay. And then, and then the second question, what is the scope and timing that you're looking at for NAL expansion in terms of -- where would you ideally begin, and what's, what's the scale, in terms of you in sky, what's it look like? What do you want to market where it is today is very difficult, but what's the plan understood?
Lucas Dow: Thanks, Andrew, so I think probably two things. One, the environmental and biological studies have kicked off, so all that work required for permitting is underway. So that's endeavoring to de risk the production profile or the development profile on that basis. The other key part of key, important piece of work that's happening at the moment is the updated MRE. On the back of those results, I think that'll help shape it. We certainly are looking at a material expansion, whether that's 50 or 60% or doubling an additional 50 or 60% over and above na L's current capacity, or whether it's a doubling of the capacity piece that we're going to work through, and still range underway with a scoping study to work that out once we're through that well, then here I went on that preferred option, and then have more specific timing around when we when we might be able to bring that project to market in light of one, both market conditions and two, also what the permitting regime is depending upon the ultimate capacity that we go for.
Operator: [Operator Instructions]. There are no further phone questions at this time, I'll now hand to hand it back to Andrew barber to address any web written questions.
Andrew Barber: Thank you, Lucas, we have a couple of questions. Firstly, if node land was standalone project be valued somewhere north of 400 million, possibly even in today's pricing environment at the at this point, analysts don't seem to be attributing that value. What's being done to help change that?
Lucas Dow: Yes, thank you for the question. A couple opening remarks, and I'll just then, I will pass it over to you, Andrew, I think a couple of things, obviously challenging environment at the moment, within the challenging environment within the market the moment around greenfield projects, given the market is in a state of oversupply and so forth. So marks necessarily rewarding the excellent results we've seen at both nal and mow land. The key activities for us is to get those MRE updates complete, and as I said, we expect that to be in the second half of this calendar year. That'll be important, because I think that that will give people a very clear insight in terms of the potential for both Na, L and Mo land from a reserve perspective, rather than just what we're seeing on a resource basis. So getting that work done is critically important. I think the other part that we certainly want shareholders to be aware of is that we've had a conservative effort over the last nine or 10 months around engaging shareholders and making the market aware of what's in our portfolio and in our stable development opportunities. Andrew, you might just sort of walk those folks on the call through exactly the type of activity we've done so that, I guess, in short, I want to make sure that people recognize we're certainly not sitting back in our hands. We're out there beating the drum about these projects, but there's a logical process we need to go through. But Andrew, over to you,
Andrew Barber: Yeah, thanks, Lucas. Look, firstly, I'd say that just even these webcasts and teleconferences have been a key initiative over the last 12 months that I know investors have been asking for gives everyone an opportunity to ask questions and for us to address queries that we have received and and do so in a public group forum so everyone can hear the answers. Other things that we've been doing, I've been investor videos that you'd find on our website. We've undertaken interviews with Howard clients rock stock channel to go through hour long detailed sessions with him. We've undertaken quite a bit of marketing with trying to expand our institutional investor base in Sydney and Melbourne, and we saw the results of that with the support we received in the capital raise last November, December, we were brought in five or six new long only Australian institutional funds, which obviously helps with the quality of the register. We've also commenced working in the US and Canada. It's Piedmont aligned shareholders and investors and brokers. Obviously, as the merger progresses, it's important that we bring those people along as well, and they get to understand who the management team will be for the combined entity going forward. So that work's been, been undertaken. We've attended conferences at fast markets, mine's money, PDAC. In the next month, we'll be attending the global, the can, of course, global mining conference, the mining investment event in Quebec, and we'll have a number of others that we will attend during the year. So we have, we have been undertaking fairly active program that's focused on both making sure that retail shareholders have access to information and have access to ask questions and engage with yourself Lucas and the team, and then also expanding that reach into Australian and international institutional investors.
Lucas Dow: Thanks, Andrew. Okay. I'll move on to the next question. There's a [indiscernible] in pit crushing which I think's been answered. So the next question, then, is at Noble and is there enough easier content to contemplate adding a circuit into the flow sheet to capture it.
Andrew Barber: That'll be work that Sayona and the team will pick up as part of the updated DFS for mobile. And as is probably side note, we're looking at all potential byproducts, both NAL and Moblan. In fact, we've had a look at tantalum at NAL as well. So we're certainly not sitting there letting any of those byproducts go to potential byproduct streams go to waste with working through that methodically, and they'll feature as part of those respective studies for NAL and Moblan. Okay, great. Thank you. On the consolidation that's proposed, why was the ratio chosen at one to 150 rather than the more modest number?
Lucas Dow: Yeah, great question. Couple of reasons. One, one of the key elements, particularly with the merger in mind, is ensuring that the ADR, so the stock that will trade on the NASDAQ appropriately priced in short, if we were just to roll over at the current levels, we would have challenge. We would struggle to be able to attract investors in the US. So one investability In the US, the other component as well, particularly for institutional shareholders, is that they'll have a certain amount of volatility that they can have within their portfolio. And the reality is, the level that our share price at the moment and their pricing is that you see extreme volatility with relatively small movements, which then basically precludes being able to bring on institutional investors. So it's a key part from about ensuring that for [indiscernible], the merged company, is investable, both in the US and in Australia. And I think probably just the other point, we had some feedback from retail investors. I just want to reiterate, with a with a share consolidation, no one's losing their shareholding. It effectively the same size pizza. So the market cap is unchanged. It's just how it's carved up. So rather than having a very small Slither, you just get a the pieces are just charmed up a little a little larger than having a whole heap of tiny pieces within the pizza. So I think it's just important that particularly for retailers. I know there's a little bit of concern there that certainly retail investors are not disadvantaged on the back of consolidation.
Andrew Barber: Great. Thanks. Lucas, moving on to the DFS for now. Have you got an estimate of when that will be ready? And the same for mow land?
Lucas Dow: Yes. So as I mentioned earlier, key things for us, get those environmental biological studies underway, which has occurred in parallel, get the MRE updates completed for both nil and mow land, so that the mine planners can go to work in terms of understanding what those pigs will be able to support, and from there, the processing work will misuse. So we'll have more to say around those specific timelines. But in short, the approach we're taking is we'll have scoping studies for both of those projects initially, and then from there, we'll zero in on a definitive case, and it may well provide us opportunity to move straight to DFS, rather than have to go to DFS or NAL.
Andrew Barber: Great. Thank you. Now a question on the Tesla contract that Piedmont have. When is that expected to end and is it likely to be extended?
Lucas Dow: Yeah, so the Tesla contracts are paid bond contracts, so effectively, they won't come across until post completion the merger. At that point, we'll have a look at it. I think ultimately, the way that we'll be approaching contracts for a lever the merged entity will be on whatever provides the best return for. Shareholders. So you know, Tesla has been, as we understand, Tesla been a good customer with Piedmont, but ultimately we need to understand is that the very best we can do, or are there other alternatives that we might have that generate a better return?
Andrew Barber: Thanks Lucas just flipping back to mobile and now is IQ -- Investissement Quebec committed to mobile and or are they looking to sell their share of that project?
Lucas Dow: Ultimately that's a question for Investissement Quebec. But what I would say is that Investissement Quebec have been a great partner and contributed through all the all the exploration work that we've done in Moblan. They continue to be great supporters of the project, and we value their partnership.
Andrew Barber: Okay. Thank you, Lucas. Ashley, that's all the questions I have now.
Operator: Thank you. I'll now hand back to Mr. Lucas Dow for closing remarks.
Lucas Dow: Thanks, Ashley, look thanks her again for people joining. Thank you also for the questions and the continued support. We're very excited about this next quarter in terms of delivering both on volume cost and then importantly, concluding the merger as well. So thanks again, and have a great day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.